Operator: Good day, and welcome to this American Woodmark Corporation Conference Call. Today's call is being recorded. The company has asked us to read the following Safe Harbor Statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors that may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in such forward-looking statements. Such factors include, but are not limited to, those described by the company's filings with the Securities and Exchange Commission and the Annual Report to shareholders. This company does not undertake to publicly update or revise its forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied therein will not be realized. At this time, I would like to turn the call over to Glenn Eanes, Vice President and Treasurer. Please go ahead.
Glenn Eanes: Thank you. Good morning, ladies and gentlemen, and welcome to this American Woodmark conference call to review the results of our third fiscal quarter ending January 31, 2013. Thank you for taking time to participate. Participating on the call today from American Woodmark will be Kent Guichard, Chairman and Chief Executive Officer; and Jon Wolk, Chief Financial Officer. Jon will begin with a review of the quarter, concluded with an outlook on the future. And after Jon's comments, Kent and Jon will be happy to answer any of your questions. Jon?
Jonathan H. Wolk: Thank you, Glenn. This morning, we released the results of our third quarter ended January 31, 2013, of our fiscal year 2013 that will end on April 30, 2013. Our earnings release contain the following highlights. For the third quarter, net sales were $151.3 million, representing an increase of 26% over the prior year's third quarter. Excluding restructuring charges, net income was $2.1 million, or $0.14 per diluted share, compared with the third quarter of the prior year's net loss of $2.8 million, or $0.20 per diluted share. The company generated $1.3 million of positive free cash flow compared with $2.6 million of positive free cash flow in the prior year's third quarter. For the 9-month period ended January 31, 2013, net sales were $459.4 million, up 21% over the prior year. Excluding restructuring charges, net income was $5.2 million, or $0.35 per diluted share, significantly improved from the net loss of $8.5 million, or $0.59 per diluted share, in the prior year. The company's pre-tax income and net income improved by $23 million and $13.7 million, respectively, during the first 9 months of the fiscal year and a sales increase of $79.8 million. In December 2011, we announced a restructuring initiative to reduce the company's cost structure. This initiative included permanently closing 2 manufacturing plants, placing a previously closed plant up for sale and realigning our retirement program. The 2 plants ceased operations in April and May of 2012, respectively, and the company's pension plans were frozen effective April 30, 2012. The majority of the cost pertaining to the restructuring initiative were recorded in the company's third quarter of fiscal year 2012, when a net of tax charge of $6.3 million, or $0.43 per diluted share, was recorded. Inclusive of that charge, the company's net loss for the 3- and 9-month periods ended January 31, 2012, was $9.1 million and $14.8 million, respectively, while the loss per share, including that charge, was $0.63 per diluted share and $1.03 per diluted share, respectively. During the 3- and 9-month periods ended January 31, 2013, net of tax impact of this initiative was $0.1 million with no diluted EPS impact and $0.6 million, or $0.04 per diluted share, respectively. Net income, including restructuring charges for the 3- and 9-month periods ended January 31, 2013, was $2.1 million, or $0.14 per diluted share, and $4.6 million, or $0.31 per diluted share, respectively. When we commenced fiscal year 2013, we provided our expectations about market activity and our performance. Regarding the remodeling market, we expected that existing home prices would finally bottom and begin to slowly increase as the fiscal year progress. We also expected that cabinet market remodeling sales would correlate with this activity and be roughly flat for our fiscal year 2013. Regarding the new construction market, we expected that single-family home starts and new construction market sales of cabinets would continue to grow at a mid-single-digit rate as they had during our fiscal previous fiscal year. Through the first 9 months of our fiscal year, our expectations for remodeling market activity had been roughly on target, while new construction market conditions have been far more robust than we expected. Remodeling market fundamentals have become encouraging, but they have not yet translated into significantly improved cabinet sales. The number of existing homes sold during the first 8 months of our fiscal year, as well as the median price of these homes, each increased by 12% over prior year levels. Private sector employment remains a continuing positive, with seasonally adjusted employment levels having increased in every month since March 2010, and the Case-Shiller index has improved for 10 consecutive months, indicative of positive movement in housing prices. Each of these fundamentals for the existing home market provides the underpinning for an improving cabinet remodeling market. Sales reported by members of the Kitchen Cabinet Manufactures Association for the 8 months -- first 8 months of our fiscal year were indicative of a total market that was up high single digits, inclusive of a new construction market that was up by double-digits and suggestive of a remodeling market that appears to have finally begun to increase at a low- to mid-single-digit rate in the last 3 months. Against the soft but improving remodeling backdrop, our company's remodeling sales increased at a high single-digit rate during both our third quarter and for the first 9 months of our fiscal year. Our remodeling sales growth was indicative of market share gains with both dealers and home centers. As the remodeling market for cabinets has begun to improve, promotions employed by the company's largest remodeling customers and its competitors have remained near their elevated levels that have persisted for the last 2 years. However, recent actions suggest an easing in this activity. The company continues to maintain its promotional levels in line with market activity, with the goal of remaining competitive. The company experienced Q3 Home Center promotional costs that were modestly lower than both the prior year's Q3 and the first 2 quarters of the current fiscal year. Turning to new construction, housing starts have far exceeded our growth expectation, building on an uptrend that began in calendar 2011. Total housing starts rose by 30% during calendar year 2012 to approximately 775,000. Breaking this down further, single-family starts rose by 25% while multi-family starts grew by about 43%. The growth in single-family starts, which is the markets served by the company, significantly exceeded our expectation of a mid-single-digit increase. Even though the prior year comps are tougher in the second half of our fiscal year, it appears that the market for single-family home starts will continue to outperform our expectations for the year by about 20 points. The 25% growth in single-family home starts helped propel the company to a year-on-year new construction sales gains of over 40% in its first 2 quarters and a more than 50% gain in the third quarter of fiscal 2013, indicating that the company's sales gains resulted from both market growth and from our market share gains. Regarding gross profit, the company's gross profit margin for the third quarter of fiscal year 2013 was 15.5% of net sales, matching its gross margin rate for the second quarter despite having several fewer business days in which to ship product and well above the prior year's 12.2% of net sales. The company generated a third quarter year-over-year incremental gross margin of $8.9 million on incremental net sales of $31.4 million, resulting in an incremental gross margin rate of 28%. Company's significant sales gain, combined with the 2 plant closures, enabled the company to realize excellent leverage on its manufacturing overhead cost and some favorability regarding labor cost. Some of this favorability was offset by rising material costs that have increasingly become a factor that is adversely impacting margins. The company also experienced lingering inefficiencies from its transition efforts during and following the plant closures, which were exacerbated by the unexpected magnitude of a sales increase. Total operating expenses were significantly improved at 13.1% of net sales in the third quarter of fiscal year 2013 compared with 16.6% in the prior year's third quarter, and 13.4% of net sales for the first 9 months of fiscal year 2013 compared with 16.6% in the comparable period of the prior fiscal year. Selling and marketing expenses were 8.6% of net sales in the third quarter of fiscal year 2013 compared with the prior year's 11.4%, and 9.3% of net sales in the first 9 months of fiscal year 2013 compared with the prior year's 11.6%. Selling and marketing cost experienced a year-on-year decline of $0.6 million, or 4%, in the third quarter on a sales increase of 26%. The cost savings were driven by the changes to the company's retirement plans, as well as lower customer display and product launch costs, offset in part by higher sales commissions. General and administrative expenses were 4.4% of net sales in the third quarter of fiscal year 2013 compared with 5.2% in the prior year's third quarter, and 4.1% of net sales in the first 9 months of fiscal year 2013 compared with 4.9% of net sales in the prior year's first 9 months. G&A costs increased by $0.4 million, or 7%, compared with the prior year's third quarter, driven entirely by increased costs related to the company's performance-based compensation plan that more than offset cost reductions from the company's retirement plan changes. The company's restructuring initiative resulted in the permanent closure of 2 manufacturing plants and a realignment of its retirement program. This initiative was launched in the third quarter of the prior fiscal year, which generated a pre-tax restructuring charge of $10.3 million at that time. During the current fiscal year, the company recognized pre-tax restructuring charges related to this initiative of $0.8 million in the first quarter and $0.1 million in each of the second and third quarters of fiscal 2013. One of the company's closed plants was sold during the second quarter, leaving 2 properties still held for sale. The company has realized the expected pre-tax savings of approximately $4 million per quarter from these initiatives. However, we estimate that the company netted a bit more than half of that benefit during the third quarter because of inefficiencies related to significantly higher production volumes than were expected. The impact of these inefficiencies was higher as we started the quarter and lower as we exited the quarter, as significant progress was made to resolve these issues during the quarter. Regarding capital spending and cash flows. The company generated operating cash flow of $4.4 million during the third quarter of fiscal 2013 compared with $5.5 million in the third quarter of its prior fiscal year. The decline was driven by the resumption of funding pension plan contributions and working capital investments made in receivables and inventories as business has grown. The company's accounts receivable increased by $8.4 million, or 26%, since the end of its prior fiscal year compared with year-to-date sales growth of 21% and third quarter sales growth of 26%. The higher growth in receivables was due in part to timing as January was the best sales month of the quarter. Another reason that receivables have grown at a slightly higher rate than sales is the increased proportion of new construction sales to the company's total. New construction sales normally entail a longer repayment time frame. The company's investment in capital expenditures and promotional displays during the third quarter of fiscal 2013 was $3.1 million, roughly in line with the prior year's $2.9 million. For the fiscal year's first 9 months, the company's gross investments in capital expenditures and promotional displays was $11.0 million, up over 40% from the prior year's $7.6 million. The year-to-date increase was driven by outlays for equipment to enhance production volumes and by increased promotional displays deployed with new customers. The company's $6.4 million in proceeds received year-to-date from the sale of property from closed facilities more than offset the increased capital outlay. The company generated free cash flow, defined as operating cash flow net of cash used for investing activities, of $1.3 million during the third quarter of fiscal 2013, compared with $2.6 million in the third quarter of its prior fiscal year. The decline was due to the company's pension contributions and investment in working capital. In the first 9 months of fiscal year 2013, the company generated free cash flow of negative $1.9 million compared with free cash flow of positive $5.8 million in the comparable period of the prior fiscal year. Severance and related plant closure outlays of approximately $3 million, incremental pension plan contributions of $3.4 million and investments in working capital more than offset the improvements from net income and from asset sales. The company expects to continue to fund its capital spending from a combination of operating cash flow and existing cash on hand. The company's financial position remains outstanding. The company ended the quarter with a total of $73.1 million in cash, cash equivalents and restricted cash on hand compared with long-term debt of $23.4 million. Long-term debt to capital was 14.3% at January 31, 2013, down from 15.5% at April 30, 2012. In closing, we continue to manage the business with the objective of delivering a superior customer experience and long-term value for our shareholders. We have chosen to continue to invest in a number of initiatives, including improving the quality and breadth of the company's products and services, maintaining promotional levels that are competitive with competitors' offerings to sustain our market share in a challenging remodeling market, expanding channels of distribution that we have not previously emphasized and maintaining a reduced but still significant capability for future growth as market conditions improve. We continue to expect that market activity will eventually return to its historical norms of 1.25 million to 1.4 million new households per year and 1.5 million new housing starts per year. Recent trends suggest that housing has finally emerged from its long multiyear downturn. However, consumer confidence and macroeconomic conditions remain uncertain and difficult to predict, and many consumers remain unwilling or unable to make large ticket purchases because of lower home prices, availability of credit or because they simply lack confidence. From a market perspective, the wall of worry remains formidable, with global budget deficits growing and still not yet addressed. However, housing fundamentals are strengthening. U.S. household formation is now approximating normal levels, rental rates are rising as vacancy rates decline, inventories of both new and existing homes for sale are at their lowest levels in 5 years, and mortgage rates remain near historic lows. Recent data suggests that existing home prices may have already bottomed and begun what we expect will be a slow climb upward. Although the cabinet remodeling market remains tepid, we continue to expect that cabinet remodeling sales will follow the direction of existing home prices and that market remodeling sales will continue to slowly improve. Single-family housing starts have continued to show strength. Single-family starts now appear likely to grow by 25% during our fiscal year that ends in April, compared with our original expectation of mid-single-digit growth. Having described our expectations for the market, I will briefly update our expectations for company's specific performance. Company's remodeling sales exceeded the market in the first 9 months of the fiscal year by several percentage points and seemed poised to continue this type of performance for the remainder of our fiscal year. The company gained significant market share in the new construction sector during the last 2 years, which enabled the company's growth to exceed the market by roughly 15 to 20 points. We continue to expect that the company's sales will outperform the new construction market, although the magnitude of the outperformance may ease somewhat in the fourth quarter as prior year comparables become more formidable. We are extremely gratified to have reported a net income in each of our first 3 quarters and believe that the company will operate profitably in its fourth quarter as well. This concludes our prepared remarks and we would be happy to answer any questions you have at this time.
Operator: [Operator Instructions] And we will take our first question from David MacGregor with Longbow Research.
David S. MacGregor - Longbow Research LLC: Based on the assets you have in place today, both operational as well as whatever you might have mothballed, and with the typical maybe cyclical peak product mix, I'm just trying to get a sense from you, what would you say is your maximum revenue-generating capability now?
Kent B. Guichard: David, what we've been saying for the last couple of quarters is that we can probably get back up to our previous peak revenue, probably mid-$800 million level annualized without having to add any bricks and mortar to our existing footprint.
David S. MacGregor - Longbow Research LLC: If you look back in 2002, 2003, your gross margins reached 23%, 25%. That was at maximum capacity. You kind of doubled capacity from 2002 to 2006 and then you recently took a couple plants offline. In addition, we've had promotional activity picking up as well, so there's been a lot of moving parts. I guess the question is, with the current assets you got right now, the current mix, the current promotional environment, what could you get back to in the way of gross margins?
Kent B. Guichard: I think certainly we're targeting to exceed 20%. Certainly, that's a near-term target. I'm not putting a date out there for when we expect we'll hit it, but it's certainly one of our goals.
David S. MacGregor - Longbow Research LLC: And along that sort of road to recovery in margins, how much of that is operating leverage versus how much of it is just an abatement in the promotional environment?
Jonathan H. Wolk: Well, it really depends. There's so many moving parts. There's material prices, which are starting to run. There's productivity of our sales force and our manufacturing operations and so forth. There's so many moving parts, it's really hard to give a specific quantification as to how much is which variable. But I think, we think we feel that, that goal is certainly attainable to exceed a 20% gross margin.
David S. MacGregor - Longbow Research LLC: And you talked about 28% contribution margin in your prepared remarks. I mean, with raw material inflation going on but also perhaps greater variable cost efficiencies, is that a good number to be using going forward? Or how would you anticipate that evolving?
Jonathan H. Wolk: I think that's a reasonable estimate of the range that we would expect of ourselves.
Operator: And we will take our next question from Sam Darkatsh with Raymond James.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: I'll echo David's sentiment. A couple of questions, first off, your sales and marketing expenses being down year-on-year, I know that there were some structural things, with respect to the change to the retirement plans, and also perhaps some variable things, with respect to the change in displays and some of the discretionary spend. How should we look at that over the next 2, 3 quarters or so? Will it continue to be down year-on-year basis? Or will it ultimately rise but still not as fast as the rate of sales? How do we look at that line item specifically?
Jonathan H. Wolk: Well, Sam, without guiding specifically in any caption of our financial statements, I think the expectation is, is that where we've operated so far this fiscal year is sort of representative of how we're structured right now. And certainly, as sales continue to rise, if they do, we'll have to be making investments accordingly. So I think that as a percentage, there may be some more opportunities for leverage but we would expect that the absolute value of the expense to be going up.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: Remind us when you made the change to the retirement plans, when that begins to anniversary?
Jonathan H. Wolk: They were effective May 1.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: May 1, okay. The second question, you noted the promotional environment is easing, what do you attribute that to, Kent? I mean, I know raw materials are starting to rise a bit, but is it driven by that or retailers changing their view of potential demand or what do you attribute, even if it's slight, the easing of the promotional environment?
Kent B. Guichard: Obviously, a lot of it will be speculative in terms of why people are doing what they're doing. I think there are many aspects to it. I think with the increase on the new construction side, the need to get volume, to keep the plants operating for the industry has eased a bit. And so, with that, there's a little bit, I think, a little bit off -- kind of they accelerate it off the aggression scale, if you will, as it relates to promotion, because with that increase in new construction, people are getting more volume across their platforms. So they're not quite as hungry, or in some cases, even desperate to do that. But I think that's part of it. I think part of it is realizing that some of the incremental promotional dollars weren't -- just simply weren't driving incremental activity in terms of jobs that we were, in essence, giving additional dollars as an industry to consumers without increasing demand, if you want to kind of in the elasticity of demand were part of that curve where the additional dollars just weren't generating any revenue. And so I think people have tried in the last, certainly 6, maybe even going back 9 months ago, to try to experiment with level of promotions and types of promotions that would continue to keep the pump primed in an environment where the consumer is just, quite frankly, still not very active and still not very interested, but do so in a way that's a little bit smarter, that doesn't leave money on the table and, again, allows you to continue to move forward in your business. So I think it's a lot of those types of things. We've also seen, in particular -- Jon kind of mentioned they were easing off -- we've also seen kind of a stratification of it in that we're starting to see less promotional activity at higher price points and at lower price points, but maintain promotional activity at mid-price points. So I think people, in addition to those things I mentioned previously, are kind of target their promotional dollars a little bit more specifically as it relates to the type of customer, or the sale, or the strata of price points that they're living in. So it's another one of things we've mentioned a couple of times. There are a lot of moving parts to it, and it hasn't come off significantly. Again, it's changed up a little bit, I think, for those reasons. If there's any great news, it's certainly, there's not any -- we don't see any pressure going back upwards, and we are starting to see some of it easing.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: That leads to my next question perfectly. The fact that you're seeing less promotional spend at the low end and continuing to see the promotional spend at the mid end, does that potentially adversely affect your ability to continue to gain share at those stock price points if the gap is beginning to narrow between your prices and the midpoint?
Kent B. Guichard: Well, one is on the remodel side certainly, actually in both, but certainly on the remodel side, since we're talking about that, a significant portion actually, the majority of our sales is what I would consider to be mid-price point. We're not in the in-stock business anymore and our entry-level price points, while important to us, are not the majority of our business. So we're a lot in that kind of mid-price point. As it relates to gaining share, yes, I don't think it has a real impact. I mean, in our industry, it kind of starts with you need to be competitive in price and once you're competitive in price, then other things kick in, in terms of service, your contact with the consumer, how you take care of the consumer, the quality of the experience that you're giving them. And so, as long as we kind of equate pricing, we think that those other factors have been what's driven our share increase and we think that they'll continue to provide some opportunities for share increase as long as we basically meet the market on a pricing basis.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: And last question, then I'll defer to others. You're doing a fantastic job with the builder side, obviously outpacing starts, whether you look at it on a current period basis or even on a lag basis. Jon, you mentioned that the gap for the outperformance should winnow a little bit near term, but as you look into over the next year, 1.5 years or so, do you expect to continue to outpace the starts that we're seeing and what do you attribute that to, primarily?
Kent B. Guichard: Yes, I'll go ahead. I know you talked to Jon, I'll go ahead and take that one. I would say, I think what Jon referred to is we're going to start to come up here on year-over-year comps that are going to be just a higher level of activity for us. So I think that's going to, just by the math, the basic math of it is going to decrease. I still suspect that we will outgrow the industry on the new construction side. And it's really -- I think we've talked about it, it's been a couple of calls, but really what it is, is it kind of starts with customer selection. I think we think that we've done a pretty good job of identifying and partnering with those production builders that are themselves gaining share. They have kind of the best mousetrap and the best offering to the marketplace. And we've done, I think, a pretty good job of focusing our resources on those production builders that are gaining share. Within those builders, we have gained share, either by getting new builders that are in those targeted customer group or increasing our penetration within the target customer group. And so when you kind of put those 2 things together, you get a growing industry and we think we partnered with the right builders and we're penetrating into those builders. That kind of gives you kind of a trifecta there that allows us, I think, to continue to outpace the industry. Now again, the magnitude of it, a lot of it depends on comp periods and other activities and certainly these kinds of growth rates on a year-over-year basis, I think, are going to moderate. But as it relates to the industry, we think that, that set up that we have, again, right builders, penetrating those builders, we think that we'll continue to outperform the industry on the new construction side.
Operator: And we'll take our next question from Scott Rednor with Zelman & Associates.
Scott Rednor - Zelman & Associates, LLC: A question on the remodeling side, specific more to the industry than any macro data points. Do you guys track anything at your retail customers, be it traffic or quoting, that's supporting your assumption that the activity will pick up in the back half of the year or going forward, or that leaves you guys more confident?
Kent B. Guichard: Well, no, I mean, first of all, I think again going back to what Jon said. We're still very, very cautious on the remodel side. We still have not seen the pickup on that side. I think the word that Jon used was kind of tepid, which I think is a good word. We really haven't seen -- what we're sensing from the consumer is that they're still quite cautious, particularly as it relates to an investment kind of in our category. I mean, they still have whatever it is, 1 out of 4 houses that carry a mortgage is still underwater. There's still, the economy is still not out of the woods. They still see the headlines every day. So we're not, by any means, suggesting or thinking that all of a sudden, the remodel side is going to kind of take off to the races. As it relates to in the marketplace, now there's not a lot of statistics we have. In working with our retail partners we do get some information as it relates to quoting activity in particular. Traffic is very difficult. Traffic is more of an anecdotal thing. Through our direct sales force, we don't use manufacturers reps or anything else, we kind of fan out and cover the stores ourselves. We do get a lot of, again, not scientific data out there on traffic. And it ebbs and flows, as you can imagine, particularly as it relates to promotions in advertisement or promotions. But again, on balance, I would say that what we're seeing in activity is pretty similar to that, is that, just kind of, there's a little bit of light. There's a little bit of uptick. But I think it reflects overall, home prices, kind of reflects the activity in existing home sales. So again, our kind of feeling at this point, with the data that we have, is we don't see the market dropping from here. As a matter fact, we see it going up but we see going up on a pretty slight curve.
Scott Rednor - Zelman & Associates, LLC: Got it. That's very helpful. Just on kind of last quarter you laid out how you framed the inefficiency headwind kind of decelerating as you guys move through the quarter, the current quarter. I was just curious if you can update us on your expectations there. Is that playing out as you expected last quarter? And are you guys still confident that, that headwinds should abate as we move into fiscal 2014?
Kent B. Guichard: Yes, we were, again, as Jon I think mentioned, we kind of, overall the average for the quarter was down in terms of the level of inefficiencies from second to third quarter. And even within the quarter, we saw a significant improvement from the beginning of the quarter to the end of the quarter. We, right now, we're pretty confident that, that's going to continue as we go through the fourth quarter and that as we turn the corner into our fiscal '14, starting May 1, that we should basically have, all of the things being equal, that we should have the inefficiencies out, those inefficiencies out. And really the full benefit of the restructuring that we did in essence a year ago, a little over a year ago, that the full benefit of that, would start to accrue and we wouldn't have any of these inefficient offsets to that.
Scott Rednor - Zelman & Associates, LLC: Got it. And then just lastly, if you guys could just dive a little deeper into the raw material environment. Obviously, some of that is a function of demand picking up, but just what you guys are seeing near term and kind of framing your expectations as we move forward particularly if new residential construction continues to lead overall demand, an accelerating demand environment?
Kent B. Guichard: Yes, I think maybe 2 things come to mind. One of them is, again, I don't see new construction going down like I don't see remodel. I think they will be capped. We're hearing more about labor shortages than we are about material shortages. And so I think that, from an industry perspective, I think that there's more of an issue with labor. And I think that we'll see, on a lot of the materials, that we'll see lower inflation than maybe you would otherwise see if you didn't have this labor cap. I think that's going to cap some of the demand. Having said that, some of our specific materials, we have seen quite a bit of pressure, the #1 being lumber. And in the last 60 days, we've seen quite a bit of pressure on the lumber side, mostly maple. The industry's 50% maple now and about 20%, 25% cherry. There are a variety of reasons for that. We've had some people out there with big buys. We've seen some of it going offshore. We've seen some of the Chinese stuff coming in and bidding for the lumber. The relatively mild winter has not helped. They can't get the equipment into the forest to harvest and so we've had kind of almost a perfect storm kind of thing. But I do think that the lumber inflation, some level of lumber inflation is going to be with us for a while. And hopefully it doesn't impact, certainly, availability. We don't run short of stuff. But I think we're going to continue to see some lumber pressure going on. The other stuff, we'll see a little bit, a lot of the things that we were hit with about 1 year, 1.5 year ago as it related to -- that were petroleum-based; that's eased off quite a bit. But there are a couple of them, particularly the lumber side is what we've seen lately. So I think it's going to come and go. But I think we're in a period here of raw material inflation. It's just a question of where it comes from and how severe it is.
Operator: [Operator Instructions] We'll take our next question from Peter Lisnic with Robert W. Baird.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Kent, just to follow up on that question on inflation, can you give us a feel for your ability to go out and get price to help cover some of those inflationary costs, if indeed you're still seeing perhaps some promotional pressure at that mid-price point?
Kent B. Guichard: Yes, I mean, I think what we'll, kind of, given it's maybe a couple of years since we've talked about this. But the industry has a history of being able to pass along and recover from the marketplace kind of base levels, sustained price increases on raw material inputs. But there's a lag factor, and there can be a significant lag factor, particularly in an environment where people are still looking for a little bit of volume. Now that's eased, but still, with all of that, what I would say is that once it comes in and it looks like it's going to stick, it's not an aberration in a particular market like for lumber or particle board or plywood, once it looks like it is a new base price level, a new cost level on the raw material, you can probably add around 6 months to that before the industry gets to recover it. So I don't think we're there, I don't think we've seen the increase in raw materials sustained long enough in the last 6 months that, that really has come up. But that's basically the timing. Once it's out there and it's obviously sustained at that level, it probably takes us about 6 months to actually go out and get it from the marketplace.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: All right. So it's safe to say, as you look to fiscal '14 that at this point, you don't necessarily have a materials cost price increase built in when you're talking to a home center channel?
Kent B. Guichard: Well, I'm not going to give that kind of level of detail. We're priced to market. And so, this is not a cost base business, we price to the market. So all of our pricing actions, quite frankly, relate to the market. And to the extent -- again, that's why I think there's some time period here -- to the extent that material inflation gets embedded into everybody's cost, then everybody goes out in the industry in general, recovers it from the marketplace. We're going to price to market regardless of that. What I would say is that as we go forward on our planning process for '14, as long as there's not one of these crazy spikes in one of our primary materials, where you get a really, really big increase, we think we can continue on our trajectory in terms of improving the performance of the business without going out and recovering a major piece of that from the marketplace. If we do get one of these crazy spikes, that's going to hurt the whole industry for a period of time until we can recover it.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: And then, Jon, just on the balance sheet and cash flow, pension contribution, anything left here in the last quarter and how does fiscal '14 look for pension contribution?
Jonathan H. Wolk: Pete, there's only about $100,000 left for the fourth quarter. And as we look into next year, it will be roughly flat with what we're contributing this year.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: And then from a capital allocation standpoint, you used to have, in dividend and maybe a bit more aggressive on the share buyback with the increased comfort of end market demand improving, balance sheet in great shape, how do we think about capital allocation policies we look forward next year and year out?
Jonathan H. Wolk: It's a great question. It's a question, as we enter into our budget cycle now for the next fiscal year, we'll be discussing in depth.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then, you've taken structural costs out, just to go back to David's question, the gross margin that you used to lay out target wise, 21% to 23% but the leverage we're seeing here and the cost that you've taken out, what are sort of the levers that could potentially put us into that mid-20s or maybe even higher gross margin range than what you saw at previous cyclical peaks?
Jonathan H. Wolk: Well, I'm not sure I'd go -- be willing to say that we're going to get beyond that at this point, Pete. I mean there's a lot we don't know yet about the pace of this recovery and the rate of inflation and so forth. I think what I'd say is that, we feel confident that we can get to a 10% operating margin. But there's a long ways to go from where we are right now to get to that point. So I think I want to make some progress and take some great strides along that journey before we start giving targets that would get beyond that.
Operator: And we'll take a follow-up question from David MacGregor with Longbow Research.
David S. MacGregor - Longbow Research LLC: Just listening to some of the other publicly traded cabinet manufacturers talking about pursuing the dealer channel. Everybody seems to be pretty ambitious in this area and I know it's an area in the past where you've talked about trying to grow your business. Remodel's still tepid, as you say, and so maybe the dealer channel isn't at the level of potential that you would see in immediate terms with respect to the builder channel. Can you just talk a little bit about the progress you might be making in the dealer channel? And then secondly, I know you think about price points in octals, is it possible that you just don't meet these other players in terms of price positioning and, in fact, growth there for the publicly traded cabinet guys isn't mutually exclusive?
Kent B. Guichard: Okay, we'll go after the -- maybe the second one first. I mean, when you really talk about not only the 3 nationals, but also the major regionals, I mean we're at the point now where our product spectrums are broad enough where there's significant overlap between all the manufacturers. We don't go all the way to the top and somebody at the top doesn't come all the way at the bottom, but if you look at the overlap, the overlap is significant, again, for the 3 majors, plus a lot of the regionals, a lot of the big regionals. So when you're out there in a big-box environment or you're out there in the new construction side or the dealer channel, the reality is, maybe to use the 80-20 rule, is that 80% of the consumers that are coming in whether they're buying a new house or doing a remodel, 80% of the consumers have probably 4 to 6 real choices in terms of a manufacturer that they can purchase from. So there is a lot of overlap and, quite frankly, it is pretty much kind of mutually exclusive. If we win a kitchen, somebody else doesn't get it. If they win a kitchen, we don't get it. So there is not -- there is, excuse me, there is a tremendous amount of overlap. I probably misspoke there looking in Jon's face up. I probably had a little slip up. But there's a tremendous amount of overlap. And so when we talk about share, particularly in our primary channels, there is a nature of it that it's a zero-sum game given whatever the overall market activity is.
David S. MacGregor - Longbow Research LLC: And just talk about dealer channel in terms of progress you might have made there, albeit the environment.
Kent B. Guichard: In relation to dealer channel, we all mentioned -- we launched a new brand a few years ago and we've continued to make significant progress in that. It really has started to move the top line needle in terms of the revenue growth. We are starting -- it's actually starting to make a difference. We have a good book of business. We have really kind of a critical mass, a small critical mass so we'll continue to grow, but a small critical mass in terms of the number of dealers and our real challenge now is to get those to really increase the turnover through the dealer base that we have. Again, we'll be opportunistic about new markets and new dealers in those markets but we're in most of the major markets now with our dealer base. We have a good group of dealers in there. It's -- again, it provides the opportunity for critical mass. And for that group, for our sales force, our marketing and sales force, dedicated to dealer channel, the real challenge over the next year is to increase our share within those dealers and get our throughput through each one of those store fronts up.
David S. MacGregor - Longbow Research LLC: So you're not adding sales people in that channel, you're happy with what you've got?
Kent B. Guichard: Yes, I mean, you get turnover and occasionally, there's 1 or 2 markets we're not in, but basically our sales force on our dealer businesses is set. The number is pretty stable. And we have the dealer base that we can pretty much handle with that sales group. And again, now our real opportunity over the next year, maybe 2 years, is to get a lot more efficient in terms of the revenue we're driving per dealer as opposed to the acquisition of additional dealers.
David S. MacGregor - Longbow Research LLC: And then just last question on the dealers, how do you think about profitability of dealer business versus the profitability of builder channel or home center channel, at the EBIT line?
Kent B. Guichard: Well, we'll separate remodel from new construction. On the remodel side, the market is pretty efficient. Consumers are pretty educated once they get into this kind of space and they want to do remodel. If you walk up to somebody that's not looking to do any kitchen, they don't know much, but once they start to decide to do a kitchen, they go out in the Internet and other areas and they start shopping and they're pretty knowledgeable. And so whether you look at pricing or margins or those types of things across the delivery channels to the remodel consumer, the market is pretty efficient. So we don't see a big difference in terms of profitability. I mean a lot of people have mental models out there that dealer networks should be more profitable, on a like versus like product, it's pretty efficient. Now the dealers will have a tendency to have a product lineup that goes from mid to high, and the big-box retailers will basically really concentrate on mid. They may have a high option and a low option but most of their business comes in the mid. So as a book of business, the dealers have a tendency to be a little bit upscale. But on a like versus like product, the market's very efficient. On the new construction side, over there again, on a product versus product it's not bad, but new construction, particularly over the last couple, 3 years, has done a lot more base product, which is at a lower price point and lower margin.
Operator: And there are no further questions at this time.
Glenn Eanes: All right, since there are no additional questions, this concludes our call. Again, thank you for taking time to participate. And speaking on behalf of management of American Woodmark, we appreciate your continuing support. Thank you and have a good day.
Operator: Ladies and gentlemen, this concludes today's conference. We thank you for your participation.